Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Yum China 2017 Third Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. There will be a presentation followed by a question-and-answer session. [Operator Instructions] I must advise you that this conference is being recorded today, Friday, the 6th of October 2017. I’d now like to hand the conference over to your first speaker today, Ms. Christie Ju, Vice President of Finance, Head of Investor Relations at Yum China. Thank you. Please go ahead.
Christie Ju: Thank you, Kevin. Good morning and good evening everyone. Welcome to Yum China Q3 2017 earnings call. Please note a PowerPoint presentation and a live broadcast of this call are available through our IR website under the Events & Presentations section. Joining me today are our CEO, Micky Pant; President and COO, Joey Wat. As you have seen in our announcement today, Joey will become our new CEO effective March 2018. We will have CFO, Jacky Lo on the call. And we will start with opening remarks from Micky, Joey and Jacky, and then open the floor for Q&A. Please note our earnings call and investor presentation contain forward-looking statements, which are subject to future events and uncertainties. Our actual results may differ materially from these forward-looking statements. And all forward-looking statements should be considered in conjunction with the cautionary statement in our earnings release and the risk factors included in our filings with the SEC. Let’s start on the agenda page on Page 3. Micky will start with our Q3 highlights, Joey will discuss brand performance and Jacky will review our financial results. After opening remarks, we will be happy to take questions from analysts and investors. Now let me turn the call over to Mr. Micky Pant.
Micky Pant: Thank you. Thank you, Christie, and let me add my welcome to all of you from the headquarters of Yum China here in Shanghai. As you probably saw earlier today, we made two announcements. The first concerns our third quarter results, and the second was an announcement of the Yum China’s CEO succession plan. I’m very pleased that we and the Board of Directors of Yum China have agreed that Joey Wat will be the next CEO of Yum China with effective March 1, 2018. You’ve all witnessed Joey’s leadership skills and successful track record, and I’m thrilled to hand over the reins to such a great leader in a few months time. At the same time, I was honored and delighted to be asked by the Board of Directors to stay on the Board as Vice Chairman and to serve as an advisor. I love this company, the brand and the China team, and I’m confident that this transition plan will be very smooth. I’d be happy to answer questions on the succession when we come to the end of the call, but the primary purpose of today’s call is to describe our third quarter results. So without further ado, if I can direct your attention to Slide #4, if you have access to our presentation. Our third quarter results illustrate strong performance at Yum China with overall same-store sales up plus 6% and system sales up plus 10% before Forex. KFC delivered an impressive plus 7% same-store sales, and Pizza same-store sales stayed even with last year. Operating profit grew 11% to $317 million. We reported a basic EPS of $0.55, which is up 4% year-on-year. And on a fully diluted basis, our EPS was $0.53, which is flat with a year ago. Our adjusted EBITDA reached $425 million for the quarter, and cash and short-term investments stood at $1.6 billion at the end of the quarter. You’ll get a lot more details from Jacky, but I, in particular, request you to pay attention to two aspects, and those are his comments related to diluted share count and the effective tax rate, both of which impacted our diluted EPS. Moving on to development, we opened 129 new restaurants and we remodeled 200 stores led by KFC. At the end of the quarter, we stood at 7,747 restaurants in our system. We continue to make strong progress in digital, and delivery and with over 5,100 restaurants offering delivery, that’s 5,100 restaurants offering delivery, our total delivery sales in the quarter reached $287 million, which is about 14% of our company’s sales. Mobile payment represented 45% of our company sales. And cashless payment reached a record of $1.2 billion in Q3, which is more than 60% of our company’s sales I believe, China is the leader in the world in cashless sales and our company is one of the leaders in China. Our loyalty members for two brands surpassed 120 million in total, with 97 million and 30 million members for KFC and Pizza Hut, respectively, and Joey will share more details of this later. Finally, our Board of Directors approved a regular quarterly cash dividend and declared an initial dividend of $0.10 per share for the quarter. In addition, the Board increased our share repurchase program to $550 million from the $350 million previously. In the first three quarters, we have so far bought – or to the end of the third quarter, bought 3.4 million shares with an aggregate spending of $128 million. If you can move to Slide #5 now, you can take a look at our same-store sales and system sales performance for the last seven quarters. The chart on the left shows same-store sales for our restaurants. You can see that the trend is encouraging. In Q1, we lapped a very strong Chinese New Year of year ago with plus 1%. In Q2, we lapped a flat performance of plus 3%. In Q3, our same-store sales increased by plus 6%. The chart on the right shows the corresponding number for system sales. And in Q3, our system sales, as I mentioned, grew 10% year-over-year. So the overall trend is in the right direction. Now let’s move to Slide #6. Our restaurant margin continued to improve on the back of solid same-store sales, and restaurant margin reached 20% in Q3, and our operating profit increased 11% to $317 million. You will get more financial details from Jacky Lo later. Slide #7 is important. We’ve recently conducted a strategic review with our Board of Directors, and I would like to share with you four key strategic priorities for our business that will shape our strategies. The first is to focus on China. The 30 years of operations and a deep understanding of Chinese consumers, we are well-positioned to benefit from the strong consumption growth in China, and people continue to invest for growth in China. The second is to strengthen our core business in KFC and Pizza Hut through store image improvement, menu innovations and improving the quality of our food and services. The third is to leverage our leading position in digital and delivery to drive growth. We strive to maintain our leadership position through continued investment. And last but not least, to drive future growth through innovation, such as new product categories, formats and day-parts and you will see some examples later. We continue to be optimistic about prospects for long-term growth in China. And as you know, Joey Wat leads both KFC and Pizza Hut brand. So I will now hand you over to Joey to go over the performance of our brands. So with that, Joey, over to you.
Joey Wat: Thank you, Micky. Greetings, everyone. Now let me summarize the performance of KFC and Pizza Hut in the third quarter of 2017. Starting with KFC on Slide 9, highlights the key performance of KFC in the quarter. KFC delivered plus 7% in the same-store sales and system sales grew double-digit at 11%, because we have a rather low base last year. In this quarter, we built 81 new stores and we remodeled 173 units. Year-to-date, we have built 215 stores and remodeled 378 units in total. Our financial performance was also strong, both restaurant margins and operating profits continue to improve. Jacky will cover the numbers in more detail. Slide #10, let’s take a closer look at same-store sales and system sales. We see strong growth in same-store sales and system sales. Lapping a low base last year, we delivered 7% same-store sales year-on-year in Q3, driven by 3% growth in transaction and 4% growth in ticket average. System sales growth reached double-digit, 11%, thanks to strong same-store sales and new store openings at the same time. Let’s move to Side 11. In the third quarter, KFC launched a series of innovative products. CHIZZA, a combination of Chicken and Pizza was a disruptive product with unique features in flavor and in presentation. It creates good social buzz and drove transaction into our stores. Summer holiday is one of the most important times of the year for our younger customers. We launched Angry Burger with – and we worked with TFBoys, a highly popular boy band among teenagers to promote this particular product. The campaign resonates very well with young customers, and we saw a strong response in social media and good feedback on its unique appearance and good taste. Another example is our innovative rice roll, a new signature product for breakfast. It showcase our strong capability to create localized product that Chinese consumers enjoy. The successful launch of rice roll helped to drive business in breakfast and build a customer base for this very important day part. In the past 30 years, our popular kids meals served a few generations of Chinese customer as well. For Children’s Day this year, KFC worked with a pop culture icon, Transformer, with strong response. Slide 12. Going digital is the essential fact to engage with our customers and include CRM. Here we showcase a few examples of how KFC is enhancing the digital experience for our customers. Our 97 million KFC loyalty members are playing a more and more important role in driving our business. They are the focus of our marketing campaigns. A good example is the launch of CHIZZA. We offered a member-only privilege three days before the official launch. The campaign successfully created an online buzz. It helped to build up the momentum for the first day of its official launch. K-Gold is another reward to our members from purchase. In our K-Mall, members can redeem product, or play a lucky draw using K-Gold. On Slide 13, delivery has become increasingly important to Chinese restaurant industry and to our company. We are driving delivery business through network expansion, digital innovation, and marketing campaigns. In this quarter, delivery represent 11% of our company sales. In July, we expand our delivery business through select stations of China’s high-speed rail network, the largest in the world. Customers can preorder our food before their journey and get KFC food delivered to their seats. With high-speed rail delivery has just started, we are concerned about its growth potential in the future as well. Digital play a more and more important role in our delivery business. We leverage our digital platform to promote members-only offering, such as WOW bucket. We believe our digital and delivery capabilities provide a strong foundation for future growth. Slide 14 shows some photos of our newly launched KPRO, a concept that appeals to China’s urban professionals. KPRO offers a creative, modern and seasonal menu, including make-to-order salad, panini and roast chicken. KPRO also integrate Alipay’s new Smile to Pay facial recognition payment solution and other technical innovations. The facial recognition payment is the first commercial application of this technology from Alipay, which enables customers to pay without reaching for their wallet or mobile phones. Our first KPRO Palace store was opened in Hangzhou in July, featuring a greenhouse layout and design and a open kitchen creating a friendly and vibrant food market atmosphere. For those of you who are coming to our Investor Day, you’ll be able to try it for yourself. We are learning valuable experiences to serve young and tech-savvy customers who are keen to embrace new taste and innovation. Move to Slide 15, let’s review the performance of Pizza Hut in the quarter. In the third quarter, same-store sales were flat from last year, while system sales increased 7% on a constant currency basis. We built 38 new restaurants and we remodeled 27 stores. Pizza Hut reported $80 million operating profit with restaurant margin over 17.8%. Jacky will cover the numbers in more detail. Let’s take a look at the same-store sales growth and systems sales on Slide 16. Lapping a 4% decline in Q3, last year Pizza Hut same-store sales were flat in Q3, with a 3% transaction increase and a negative 3% in ticket average, mainly driven by increase in delivery business. While the positive transaction growth at Pizza Hut is encouraging, there’s still a lot of work ahead of us. On the other hand, our systems sales maintained healthy growth of 7% year-on-year. Slide 17, I would like to point out some initial progress we have made to revitalize Pizza Hut. First, on store fundamentals, our menu demonstrate effort we have taken on food innovation. We will continue to work on menu rationalization and revamp customer service to improve buying experience. We are making significant investments in raw materials and ingredients to improve the product quality and taste. And we believe this is the right thing to do. Jacky will cover the financial impact of this later. Second, we are in the process of consolidating the delivery network under Pizza Hut. Last but not least, we are trying a few different store format, including digital model to target different customer segments. We are investing in many areas of our Pizza Hut business. Let me provide more details in the subsequent slides. Move to a Slide 18. In August, we launched a series of new products for summer holidays. Our crayfish pizza has good taste with good value for money. The appetizer platter offers a variety of select products and help drive the ticket average. We also upsized our drink by 30% across the board without increasing price, which effectively stimulated the category sales. Going forward, we will continue to invest in our product improvement. The final exam week is also very important for students in China. At the same time, the Chinese name of Pizza Hut, Bi Sheng Ke, means must win in Chinese. We offered a 20% of this campus student with a free good luck sticker. This campaign was also very well received by students and their parents. Slide 19, a quick review on our digital effort. In July, we launched Pizza Hut Super-App integrating Pizza Hut’s delivery business into one platform. The new app provides convenience and efficiency to our customer and helps us to better understand customer needs. Similar to KFC, Pizza Hut members can also receive K-Gold rewards. It generated over 3 million downloads in two months. In addition, our Super-App also provides exclusive offers for members, such as the Monday Members Day program. This type of event was well-participated and effectively drove traffic. Pizza Hut accumulated 30 million loyalty members by end of August and mobile payments accounted for 35% of the sales. Slide 20. Delivery contributed 21% of Pizza Hut sales in Q3, with over 2,000 stores offering delivery services by end of the quarter. We are in the process of consolidating the delivery platform under the Pizza Hut brand. We leverage our own platform as well as all major third-party aggregators to generate delivery orders. The orders are delivered by our own riders and third-party riders as well. Going forward, we will optimize our delivery network to provide high-quality food and speedy services to our customers. We see delivery as a strong growth engine to drive future growth. Slide 21, we continue to test different store formats, including Pizza Hut bistro, a smaller size fast casual concept offering great food and efficient service. Pizza Hut bistro adopt an open concept to create a bright and contemporary image with a simplified menu. Pizza bistro offers open counter for salad and drinks and main dishes will be served at the table. This service model could reduce waiting time, while improving labor efficiency. In addition to bistro, we are also experimenting with other store formats. While it would take time to turnaround the Pizza Hut brand, we have made some solid progress. This concludes my remarks. Let me turn it over to Jacky, CFO of Yum China. Jacky?
Jacky Lo: Thank you, Joey. Good morning to those calling from Asia and good evening to those calling from the U.S. As you have heard just now, we are encouraged by the strength of KFC. Under Joey’s leadership, KFC achieved strong business and financial performance and continue to build on this positive momentum. At Pizza Hut, We have a clear plan to revitalize the brand. We are experimenting with a number of initiatives, which may not lead to sales impact immediately, but we believe they’re necessary for the long-term help of Pizza Hut. Now let me start with an overview of our third quarter results, and then give you an update on our capital allocation strategy. Let’s take a look at our third quarter results on Slide 23. Our system sales grew 10%, excluding the impact of foreign exchange. This was led by our strong same-store sales growth of plus 6%. During the third quarter, we opened 129 new restaurants. Additionally, to enhance our brand image and customer experience, we remodeled 200 units. Execution of our robust development plan continue to – contribute to our sales growth. Our restaurant margin reached 20% during the quarter, up 0.8 percentage points year-on-year. I’ll elaborate on the drivers for restaurant margin expansion in the subsequent slides. I’m pleased to report that, we delivered solid profit growth in the third quarter. On the back of healthy revenue growth and margin expansion, our operating profit increased 13% year-on-year and our adjusted EBITDA increased a 11% year-on-year, both excluding the impact of foreign change. Moving on to Slide 24, for our restaurant margin and operating profit. Let’s take a look at KFC first. KFC had a strong third quarter. We continue to be on the healthy momentum from the first-half of this year and leverage on our digital and delivery platforms, social media marketing and disruptive food innovations between new concepts. We are pleased that restaurant margin increased 1.4 percentage points and operating profit increased 22% year-on-year, excluding the impact of foreign exchange. The increase was primarily driven by same-store sales leverage and partially offset by wage inflation and promotion cost. As we enter into the fourth quarter, we’ll continue to invest in our product, which we think is the right thing to do for our brand. Turning to Slide 25, let’s take a look at Pizza Hut. During the third quarter, Pizza Hut’s restaurant margins declined by 0.9 percentage point year-on-year, mainly due to promotion costs and higher labor costs, partially offset by labor efficiency. Now I would like to give you further colors on what we are planning to do in Q4, and how that may impact restaurant margins. As you’ve heard from Joey earlier, we plan to fix the fundamentals for Pizza Hut. We’ll continue to invest in product and service upgrades in the next quarter. We are also assessing the risk of store impairment as part of our Pizza Hut integration project, and at the same time, we continue to face wage inflation. So all these factors may impact Pizza Hut’s restaurant margin and operating profit. Last but not least, I would like to remind you that our sales operating profit and margins are subject to seasonality. We typically experience lower profit in the fourth quarter. This is true not only for Pizza Hut, but also for KFC. Let’s go to Slide 26. There are several factors that impacted our third quarter financial results. Let me touch on the first two factors, which are the effective tax rate and diluted share count. In the third quarter, our effective tax rate was 31.7%, as compared to 29.8% in the third quarter of last year. This was due to higher costs of repatriating current year earnings into the U.S. Diluted share count increased by 9% year-on-year due to the new shares issued to strategic investors upon spin-off on November 1 last year, and the dilution impact of previously granted share-based awards and warrants. A combination of high effective tax rate and diluted share count led to a flat diluted EPS year-on-year year. But if you look at our net income, it was actually up 11% year-on-year, excluding the impact of foreign exchange. And for the full-year, we expect our effective tax rate to be no more than 30%. The third factor that impacted our Q3 result is G&A cost. It was up 21% year-on-year, excluding the impact of foreign exchange. The increase was a result of higher compensation costs, partially attributable to hiring additional personnel and higher professional fees as a result of being a public company. For the full-year 2017, we now expect G&A growth of low teens percentage in local currency. But having said that, we’ll continue to look for ways to optimize our G&A cost structure. Next is restaurant level inflations. Our wage inflation was 7% and commodity inflation was 1% during the third quarter. As for commodity inflation, we are comfortable with our guidance of low single-digit inflation for the full-year, as we expect commodity inflation to remain fairly subdued in Q4. And to sustain restaurant margins for all our brands, we’ll continue to grow our same-store sales growth to offset the impact of restaurant level inflations. Finally is currency translation, which negatively impacted our operating profit by $5 million in the third quarter. Now let’s move to Slide 27, which highlights a powerful aspect of Yum China’s business model, which is our ability to generate substantial free cash flow. Year-to-date, we generated free cash flow of $725 million. Our balance sheet remains strong with about $1.6 billion in cash and short-term investments. We’ll continue to utilize cash to reinvest into our core business, enhance our strategic decision and create value for shareholders. Now let’s turn to Slide 28. We have reviewed all of the capital allocation options with our Board of Directors, and we like to report to you as follows. First, we are confident in our ability to generate free cash flow, so we are initiating a quarterly dividend at $0.10 per share with room for higher payout in the future is subject to Yum China’s capital needs. In addition, our Board has approved a further $250 million for share repurchase. That brings our total share repurchase authorization to $550 million. By the end of August, we have repurchased approximately 3.4 million shares, totaling $128 million. Finally, we believe China remains an extremely attractive market for capital investment. As a result, we’ll continue to implement strategic initiatives to enhance our capabilities and also look for growth opportunities that leverage the unique strength of Yum China. In less than a year since we have become an independent public company, we have successfully initiated on all three aspects of our capital allocation strategy. So this wraps up my remarks, and I’ll now turn it back to Micky.
Micky Pant: Thank you, Jacky. So before we open up for Q&A, we are right on time at about 30 minutes. Let me summarize the quarter Q3 on Slide #29. We delivered a strong performance in the third quarter and there are three statistics of particular significance. The first was 7% same-store sales growth for KFC; the second, that our loyalty membership program increased to over 120 million members from the 100 million last quarter; and lastly, we collected over US1.2 billion of our sales through non-cash in the last quarter alone. So based on the performance of the first three quarters, we are confident that we will be able to deliver our 550 to 600 new units, coupled with a double-digit operating profit growth, ex foreign exchange for the full year. As mentioned before, Yum China will host our 2017 Investor Day on October 17 through 19 in China, in Shanghai. And for those of you registered for the event, we look forward to seeing you in Shanghai. So with that, I’ll turn you over to Christie who will commence our Q&A.
Christie Ju: Thank you, Micky, and we will now open the floor for Q&A. We would like to take as many questions from you as possible, but we’d appreciate that everyone can limit to two questions each or one question and one follow-up, and then you can come back to the queue again, if you have additional questions. Operator, we can now start a Q&A.
Operator: Thank you. [Operator Instructions] Thank you. And our first question in queue comes from John Glass from Morgan Stanley. Please ask your question, John.
John Glass: Thanks, and good morning. Jacky and Micky, a couple of times you mentioned investments needed in the business, and I guess, particularly Pizza Hut. Can you talk, one, about any sort of dimension in terms of the size of those investments, either margin impact or dollars? And was that a comment specifically about the fourth quarter or was that sort of an ongoing comment that 2018 needs to be an investment year for that brand as well?
Micky Pant: Thank you, John, a great question. I think, as you saw, we feel quite confident about KFC and the trends are all in the right direction. And if you recall two years ago, the situation was very different. A lot of credit to Joey and the teams for getting the turnaround done. But it did take a couple of years before we were able to see real returns on KFC that included substantial investment in store refurbs, as well as in innovation, and the technologies in the store, staffing, the methods by which we remunerate people across the board, across the labor control, et cetera. I think on process in Pizza Hut has started, there’s no doubt about that. I’m very encouraged by the bolder level of experimentation. I think one of the many reasons Joey has this new role is that, she is a bold leader and makes quick moves. However, it’s true to say that at the moment, we are not able to conclude that the experiments and trials that are being done with any accuracy or when they will have an impact. So I would not like to limit our investments to the next quarter, it could run into next year as well. We’ll keep you posted. I think the overall thing to remember, of course, is that Pizza Hut is about 20% or 25% of our overall operating profit delivery. So the big one is KFC. And if you can keep that going, we can – that’s our major focus. However, it is true that Pizza Hut – and I’m delighted with the change that Joey is leading. That includes, for example, example she mentioned of increasing the size of products without charging more, investing more into cost of goods for a better quality pizza, whether it’s cheese or paste, tomato sauce or whatever it is. So the moves are all good. But they will have an impact. So overall, we’re not guiding to any kind of quarterly impact of these. John, it’s a little difficult, especially as we are only one month to go full-month quarter. The fourth quarter is not a very significant quarter overall in terms of profit delivery, but these investments will have an impact. In terms of overall CapEx, the number is not that significant. I think the one reference Joey did make was that, we are trying to consolidate our Pizza Hut delivery and dine in systems into one delivery system. That might have an impact on some impairments as we rationalize it – review it all. But John, we’ll keep you posted on it. But at this time, we are not able to give more specifics. Joey, you want to add…
John Glass: And if I can just ask – go ahead.
Joey Wat: John, let me try to just give you the item of the investment, which we’ve seen are the right things to do, both in the short-term, medium-term and long-term. Immediately, I think, customer can see our investment in food and drinks, both in terms of portion and ingredients. We are in food business, this is non-negotiable. We have to try our very best to provide the best food for our customer. Otherwise, other – [better proposition] [ph] just won’t be strong enough, so that’s number one priority. And then, Micky has mentioned earlier, the store – the store format, the store upgrades, Pizza Hut overall is quite new. However, it’s the sort of the design aspect to bring the freshness and relevance to the customer. Third area is digital. As you can see, we launched the Pizza Hut Super-App as early as July, that was very fast. And then we are going to launch the new version again in November, and we know how important this area and we’ll continue to push ahead. At the same time the CRM, right now with 30 million members, we’re investing into the marketing for our members. The other area is delivery. We know how important this particular business is to us, and the growth rate is very encouraging. However, for Pizza Hut delivery, unlike KFC delivery, the percentage of food delivered by ourselves is not high enough, we could do more. And I think these are all the areas that we should invest, not only next quarter but next year as well, which are – we believe are the right things to do at this point.
Micky Pant: Do you have a follow-up, John?
John Glass: Just a very brief one. Did you take pricing at either brand this quarter? I know you talked about when the VAT sort of lapped, there may be an opportunity to look back at pricing. Did that happen this quarter, and by how much?
Micky Pant: It’s a couple – yes, I think, we’ve mentioned, there’s a couple of points, John. There’s about 2% net impact of pricing on both KFC and Pizza Hut, so it was quite modest actually. So 2% on each of the brands, yes, for the quarter.
John Glass: Thank you.
Micky Pant: Yes.
Christie Ju: Thanks, John. Operator, let’s take our next question, please.
Operator: Yes. And the next question comes from Xiaopo Wei from Citigroup. Please ask your question.
Xiaopo Wei: Hey, morning. The first question about competition. Could management give us some color on the competition, especially there was a major shareholding structure change in one of our Western QSR competitor in China? And we’ve heard from the news that there were some aggressive opening plan. What’s management comment on that? And what’s our strategy? The number two question about the dividend. We are glad to see the first dividend announced, but we know that it’s subject to quarterly review. Could management give us color whether it’s in the commitment in the ratio – the P&L ratio, or there’s a dollar term, a commitment for a minimum? Thank you.
Micky Pant: Well, I think the best for – on this is to – Xiaopo, your two questions to be answered by Joey and Jacky, respectively, on competition. I will mention one thing however as Joey starts to respond especially to our principal Western QSR competitor is that, if anything it will take time, and we have a very substantial lead in terms of our penetration, as well as the number of stores. But we obviously respect them a great deal and watch them very carefully. So, Joey, would you like to give any comments on competitive activity?
Joey Wat: Yes. First of all, KFC and our other very well-respected competitor, we’ve been competitors in China for 20-some years already. So it’s not something that’s new. For KFC, I think it’s very important for the management team to focus of our core strategies. We have learned a lot and we have made our strategy more and more clear in the last few years. Our focus on our core products, our focus on innovation, our focus on digital and our focus on disciplined store growth. So all these are the right things to do and we’ll stay on our course. Of course, we will continue to learn from our competitors big and small, because that’s what we should do in order to stay ahead of the game.
Micky Pant: Thank you. On the dividend Jacky.
Jacky Lo: On the dividend questions, given we are a relatively new public company, we feel that $0.10 per share dividend is appropriate. And based on our latest share price, that’s equivalent to a 1% dividend yield. This is what theBoard authorized usto do as well. But well, with that said, we are starting at $0.10 dividend per share, but our goal is to gradually increase this amount on a per share basis in the future, but of course subject to our cash needs.
Christie Ju: Thanks, Jacky. Operator, please take the next question.
Operator: And the next question comes from Brian Bittner from Oppenheimer & Co. Please ask your questions Brian.
Brian Bittner: Thanks. Congratulations, guys, and good morning. I got two questions. First, when you spun off last year you talked about targeting an EPS algorithm over the long-term of the mid teens. And there has been a lot of moving pieces, but overall you’ve done well against that target. And now as the model has less abnormal moving pieces going forward with the share count and whatnot, I was wondering if you could talk to your confidence in that algorithm still, is it still as confident going forward as it was when you spun off and if not why?
Micky Pant: Brian, this is Mickey. Let me take a shot at it, because we discuss this a great deal in the company. If you noticed over the last two or three quarters as we became a public company in all our pronouncements, we’ve been encouraging our investors to look at operating profit growth, which is where we have a greater degree of confidence. And we’ve been guiding our long-term confidence that we will grow our operating profit double-digit. Though year-on-year that is never predictable, it could always have a year where that is not rolling. But in the long-term, we expect a double-digit operating profit growth. The reason we said that was, earnings per share are obviously subject to factors like taxation, as well as the share count, et cetera. And if you look at our share count today compared to where it was a year ago, I guess, Jacky, we had approximately 10% higher in terms of number of shares. Now part of it is on account of the fact that we did issue shares to our cornerstone investor, Primavera. Part of it is, because as you know, Primavera has warrants, which enabled them to buy when our market value hits $12 billion and $15 billion and the quarter did deliver $12 billion market value, in fact, currently it’s trading more like $15 billion. Those have not yet kicked in, but those projects that we could not really predict when these would happen and when these would get exercised, we use very conservative policies with regard to estimating our total share count.
,:
Brian Bittner: Okay.
Micky Pant: Yes, so look at the last year and this year, I think, our operating profit has been substantial very, very much higher than just double-digit. So, there might be an off year here and there, but overall, we feel confident that we can deliver. So sorry you had a follow-up.
Brian Bittner: No, that’s fair. Double-digit operating profit growth is similarly fair. And then just the second question is, you do have over $1.5 billion in cash. So even after your capital allocation for dividends and share repurchase, you still have so much cash, so much dry powder. And I know you talked about opportunities to invest in China, but it also doesn’t seem like there’s something that’s that large that you could do in China. So I just love your thoughts on holding on to all that cash and what you could potentially do with it?
Micky Pant: Yes. Well, look we don’t like to hold onto cash, okay? We’re very acutely aware of the interest rates and we would love to deploy that cash to growth, we’re very focused on that. There are certain aspects of our thinking and planning that we cannot disclose, because it will compromise our competitive position. We’d much rather execute and then inform at the appropriate time. So we’re considering a range of options by, which we could deploy this cash for greater growth. And that’s part of the reason why we are in the situation that we are in. We did feel comfortable after considerable debate, but even though it’s less than one year as we spun off, Brian, that we would institute a dividend, we feel so confident about our cash flow and existing cash reserves. We feel that that will not compromise our ability to grow, because the cash flow is extremely rich and the cash position is very strong. So we instituted the dividend and the Board of Directors approved the institution of the dividend. They also increased our buyback to $550 million, which is quite substantial another three quarters we’d spent roughly $138 million I think. So we have a quite a bit of dry powder to be able to buy our shares back and therefore reduce the share count in the long-term. But we’re very focused on that. We just concluded a two-day strategic meeting with our Board of Directors. We have an outstanding Board of Directors with a tremendous amount of experience, operating experience in China, a lot of deal-making experience. We have Primavera as a major investor. They have two Directors in our Board. We have a presence from Ant Financial part of Alibaba have an observer on our Board. So we have a lot of very good guidance in terms of how we might do it. But as I said, one of the things we concluded that we will focus on China rather than look at acquisitions all over the world. We will look at – we’ll focus on China, and we would love to deploy our cash to grow our Chinese business, and we’ll keep you posted as that goes on. That will be a big part of our priorities.
Christie Ju: Thank you, Micky.
Brian Bittner: Okay. Thank you, Micky.
Christie Ju: Operator, our next question please.
Operator: And the next question comes from Christine Peng from UBS. Please ask your question, Christine.
Christine Peng: Hi, management, I have two questions. The first question is about Pizza Hut. I noticed from Joey’s earlier presentation mentioning the new Super-App launched for Pizza Hut. And within that, I noticed you have this K-Gold function on the app. So does that has anything to do with the K-Gold program under KFC? And I think a related question is about, Joey, do you see any synergy between KFC and the Pizza Hut in terms of the membership program, in terms of delivery capabilities of KFC right now?
Joey Wat: Christine, the short answer to your question is, yes and yes. The K-Gold program is the same as the KFC. So customer can earn the K-Gold in either a Pizza Hut or KFC, and they can use the K-Gold to redeem the food or the – some sort of small things or IP that would produce. The membership program, we do see and the delivery we do see synergy, because we obviously, Pizza Hut being a late – well, being a bit late in launching the membership and the CRM, there’s a lot that we can learn from KFC’s progress and ongoing practice and technology. At the same time, we can work together, such as K-Gold, I mean, it’s there, it’s done, so we can utilize it. And in terms of delivery, the same KFC has developed a very good model in terms of working with aggregator, but also use our own rider to deliver the product. So Pizza Hut, we can learn that from KFC as well. I mean, we do use the riders for Pizza Hut right now, but the ratio is a bit small or smaller than KFC, which we can see the opportunity to increase the ratio. So the short answer to your question is yes and yes.
Christine Peng: And I think, Joey, you also mentioned the new formats launch for Pizza Hut. Can you provide us more kind of concrete thoughts in terms of how fast this has been happening and what’s your plan going to 2018?
Joey Wat: Sure. There are two new format – well, we always experiment new formats, because we have to move with customer. Customers’ needs in China change just so fast. There are two formats that we experiment. One is this bistro, which I talked about earlier in the brand update session. The other one is called PH+. For those ladies and gentlemen who are coming to the Investor Day, if you go to Hangzhou, you will see that particular store within one-minute walk from the KPRO store. So that is – the number is very, very small. The number of key PH+ store is very small, mainly for the urban professional, tech-savvy, young people, et cetera, et cetera. The bistro, we have plan to open 30 stores this year – by the end of this year, and we are in very good progress to do that. Bistro is a more flexible format. The store footprint, the store size footprint can be a bit more flexible. The menu can be a bit more simplified. And it has more self-service element in it, so the labor cost is a bit more efficient. And so far, we are testing it in different trade zones and different cities. We are encouraged to see the initial progress. But as you will appreciate for new formats, there’s always so much to learn, because retail is detail for our business. However, for this particular year, we will open 30 of them, and next year is already in a plan, we will open more bistro, which we see is something that will be a very good format to be part of the Pizza Hut business.
Christie Ju: Thanks, Joey. Thanks, Christine. Operator, let’s take the next question please.
Operator: And the next telephone question comes from Matt McGinley from Evercore. Please ask your question, Matt.
Matt McGinley: Thank you. My first question is on labor expense. Labor expense as a percentage of sales declined in the quarter despite at 7% inflation. Was the rate of the labor inflation you experienced consistent across both of the brands? And I’m wondering how much of the benefit from rate standpoint was from a comp growth relative to cost cutting you may have had at either or both brands?
Micky Pant: Thank you, Matt. Yes Well, I think for both brands, the labor inflation is about the same. So we expect low – we expect high single-digit for both brands for the full-year. But we will continue to leverage our know-hows how to manage labor costs. So one example is to improve our scheduling of our staff at the restaurants. So but as you can see at KFC, there are some labor efficiency that helps contribute to our margin improvement this quarter.
Joey Wat: I just want to add my comment about labor cost as a percentage of sales. In KFC, it has been pretty stable. We managed to control at around 20% in 2013 actually, 2013, 2014, 2015, 2016 and probably 2017, it will be above 20%. And that has – that’s one simple number has so much hard work behind, given the size of our labor force and has so much incredibly detailed learning that we should continue to learn. For Pizza Hut, all I can say is, there’s a lot of work and there’s a lot of learning and it would take some time for us to learn how to do it properly to control that labor cost as a percentage of sales. We’ll talk more when you guys are in Shanghai in two weeks’ time. I guess, one area I would highlight in terms of learning is, while we always should push for labor cost efficiency, it’s equally important to find ways to take away tasks for our stuffs. And I think that would be my number one learning from KFC, which could be applicable for Pizza Hut, but it takes learning and task and detailed work to get there, but it can be done.
Matt McGinley: Okay. Joey, on the loyalty membership growth, I think, a quarter or two ago either you or a member of the team said the focus was on shifting more from getting more members to sign up and focus more on getting more from the existing members. And I assume you don’t – you’re going to turn people away that want to join the program. But what are you actually seeing in terms of numbers spend? Is that – your membership growth has more than doubled year-over-year in each of the programs. Is that actually driving the comp at this point, or is it still mainly a medium to just communicate with the members that are your customers?
Joey Wat: We certainly want both quantity and quality. I mean, we have achieved very – a very substantial membership base, so now we want to drive the quality the interaction with customer. At the same time, we do see our members right now, it’s contributing a pretty significant sales of – a significant portion of our sales. Again, I think, when you come to Investor Day, we’ll have the specific number for you guys.
Christie Ju: Hey, Matt, we will be able to provide more color in terms of our loyalty members and their contribution to sales. We will provide more details when you come to the Investor Day.
Matt McGinley: Okay.
Joey Wat: What I wanted to say Matt is the focus of our team right now, because there are so many things we’re doing. But yes, we still have one very clear focus we want to achieve is to drive one more visit from our member. And you’ll be amazed how much money that could mean to our company. So that will be our very clear focus.
Matt McGinley: Okay. Thank you.
Christie Ju: Thanks, Joey. Thanks, Matt. Operator, please take the next question.
Operator: Apologies. The next question comes from Michelle Chang from Goldman Sachs. Please ask your question, Michelle.
Michelle Chang: Hey, good morning, management. I have two questions here. Number one, can you share with us the performance in the different tiers of cities? For the strong max same-store sales growth, particularly for KFC, is there any like tier cities or areas are performing? And my second question is about the new store concept, especially for KFC. By looking at KPRO, it looks like the store layout and the product offering are quite different from the traditional KFC store. And at the same time, KFC also have a lot of good product innovation. So are we going to see the new store concept for KFC as well in future? Thanks.
Joey Wat: Okay, Michelle, thank you. For the different tier cities for KFC, also we are happy with the same-store sales across city tiers. However, with our hard work Tier 1 cities actually right now are giving us the best sales growth, which is very encouraging, because Tier 1 cities, as you can appreciate, has the highest level of competition with highest labor cost, with highest rental, et cetera, et cetera. So it’s very encouraging to our team that we can do better in Tier 1 cities, because if we can survive in Shanghai, Beijing, Guangzhou and Shenzhen, we probably can survive in other part of China as well. So that is what the city tier. The other one is a new store concept. You’re right to point, our KPRO is very different. And I have to say KPRO, we finally have a successful experiment. Actually, we have tried a few times before and finally it worked. Thank you to the hard work of many, many people in KFC and in Yum China. And we purposely try to have something very, very different, because that’s how we learn. I mean, we can try sort of the incremental changes in our current store like the high-end trade zones, the transportation hubs, et cetera, et cetera. But we want to try something very, very different. Why don’t we just give a go. We even changed the color to green from red, that’s probably funny enough as a brand builder that’s, that’s a huge decision. So and it was one store trial and we’ve learned tons not only in terms of the store layout, the service model, the product, we try even – something even more aggressive behind the scene the customer cannot see how do we set up the IT system, how do we try something in terms of our technology. That that critical as well and would take whatever learning from there and use it in KFC and in Yum China. So net-net, it’s a very, very good experiment and we’re very happy to see positive feedback from our own staff, from our landlord, from our customer. So when you guys come to see our KPRO store, please share your thought with us, because we’re still learning from this particular experiment.
Christie Ju: Thanks, Joey. Thank you, Michelle. We take the next question please.
Operator: And then next telephone question comes from Sara Senatore from Bernstein. Please ask your question, Sara.
Stephanie Ng: This is actually Stephanie Ng, representing Sara. Hello. I have a quick question on Pizza Hut, so slight constant price and price quite a bit of improvement to your trends. And I know that you discussed a lot of this was attributable to the delivery business. But did you observe a change in the dynamics among the delivery aggregators this quarter?
Joey Wat: For the delivery aggregator, I mean, obviously, we all know that by Baidu delivery is part of Ele.me right now. So we are dealing with the key – top three aggregators, Baidu Ele.me and Meituan. We haven’t seen sort of huge shift in terms of numbers, but we do see what we do see and we do learn is everyone in the market from restaurant operator to aggregators are all trying to improve the service, the quality, the delivery speed. So it’s a good thing. We’d like to see that, because other than just quantity for our business, which emphasize a lot on quality, it’s good for us.
Stephanie Ng: Okay. Thank you. And then a quick follow-up question on the tax rate. As you begin to pay dividend, how should we think about implications on taxes next quarter in the longer term?
Jacky Lo: Well, I think our current tax structure and the effective tax rate are mainly affected by two factors. The first factor is the China’s corporate tax rate, which is 25% plus. And there’s – the second factor is the 10% recurring tax charged on the repatriation of our earnings out of China. So the recurring tax impact it has on the amount of cash repatriate and we plan to repatriate in a given year. But for the full-year 2017, right now, we expect the repatriate tax rate will be no more than 30%.
Christie Ju: Thanks, Stephanie. Thanks, Jacky. Now we take the next question please.
Operator: And the next question comes from Chen Luo from Bank of America. Please ask your question, Chen.
Chen Luo: Hello. Hi, sorry my line just dropped, so I’m not sure weather my question has already been addressed. So I got two questions on margins. So first of all, on the food and paper cost as a percentage of sales, you have been up by 1 percentage point during Q3. So I note – I understand that’s 1 percentage – there was 1 percentage increase in the commodity cost, but this increase cannot fully explain the increasing food and paper cost. So is it true to say that we also increased our promotional intensity in that quarter? If my guess is right, are we going to maintain a similar high-level promotional intensity in the future to boost same-store sales growth? And the second question is on the occupancy cost, actually have declined quite substantially during Q3, even if we start to lap the full balances of the VAT reform. So apart from the same-store sales growth leverage, is there any other reason, or actually during our China check we noticed some of the landlord say that they now only start to produce VAT tax invoices from this year. So are there still a little bit benefit from VAT in Q3 in terms of the occupancy cost. Thank you.
Joey Wat: Hi, Chen, I’ll take the food and paper cost, and then Jacky will handle the occupancy cost. For the food and paper cost, for both business, we invest in Q3. For Pizza Hut, we have invest in the ingredient, the food quality, the portion. For KFC, we also invest, because this year, it’s 30 years. We are celebrating 30 years anniversary in China. Therefore, we have launched new campaigns to give very, very unforgettable promotion to our customers as a way to spend them. So what is our promotion? We sold original recipe chicken and [indiscernible], the mashed potato at the price of 30 years ago. So you can imagine that is a very sincere way to say thank you. So that would have impact on our food and paper cost. And for Q3, we did that, actually, we did that also early in the year for KFC, yes. So the 30 years anniversary certainly has an impact. And whether it will continue or not and we celebrated 30 years this year. But we always push ourselves to do everything we could to face costs or to push for new products, try to get the value back to customer as we always do whenever we could.
Micky Pant: And Chen, for your questions on occupancy, well, our rental expenses are actually relatively stable through proper portfolio management. And on utilities, we continue to innovate to be more efficiency – to be more efficient. So in Q3, there was actually some slight savings, that’s why you see a decrease.
Christie Ju: Thank you. Can we take the next question, please?
Micky Pant: Okay.
Operator: The next telephone question comes from [indiscernible] Huang from CICC. Please ask your question.
Unidentified Analyst: Hi, thanks. [Foreign Language] I have two questions. First on delivery. So what is the year-over-year delivery sales growth in the third quarter, in this quarter? And what percentage of sales comes from third-party platform like Meituan or Ele.me?
Joey Wat: Okay. Let me try to give some color of the delivery. So…
Unidentified Analyst: Yes, sure.
Joey Wat: They’re different for both brands, so let me start with KFC first then I’ll go to Pizza Hut. So for KFC for the Q3, I mean, Christie can get back to you about the specific number about growth of a delivery business is over 50% in Q3 for Pizza – for KFC. Therefore, year-to-year compared to last year three quarter, I think, is in the slides, the percentage of the delivery jumped from 8% to a 11% for KFC. And in terms of the business from aggregators for KFC is about 50% to 60%. However, the key thing to remember is for KFC, while we get the traffic from the aggregator, we have our own riders to deliver our food. That’s for KFC for all our business, so we deliver food ourselves.
Christie Ju: [indiscernible] just so you know, as a percentage of sales, KFC was 8% to 11% and Pizza Hut was 15% to 21% on a year-over-year basis.
Joey Wat: And then for Pizza Hut, the growth of delivery is even higher, because the base is relatively smaller for our Pizza business. And then in terms of the percentage of business from aggregators for Pizza Hut is much, much higher to – is about 70%, 80%. Why do I say a range, because it’s a bit different depending on whether we run promotion. So it’s not sort of a steady number, it’s always fluctuate a little bit. So Pizza Hut, 70% to 80%, this is from aggregator, which we are trying to expand our own delivery rider and launch new super apps. So that we can increase the portion of delivery business from our own Super-App for Pizza Hut if that makes sense.
Unidentified Analyst: Got it. Thank you so much.
Christie Ju: Okay, thank you. And we will take our last question.
Unidentified Analyst: And if I – sorry, quickly could I ask another question?
Christie Ju: Sure.
Unidentified Analyst: Yes. So second question is on marketing. So the [strategy to Asia] [ph] will be a big impact for the company?
Joey Wat: Okay. I presume you’re a fan.
Unidentified Analyst: Yes.
Joey Wat: Our strategy – he is a comedian. He represents our coffee business…
Unidentified Analyst: Yes.
Joey Wat: …and particularly, our cafe, iced coffee. So coffee business is one of our business in KFC. I think for all the celebrities, we’re working with, they’re all very, very good, and they’re equally important. It’s hard for me to say who is more important than the other. But we will his sense of humor and his sense of humor has done well for our K-Coffee.
Unidentified Analyst: Okay.
Joey Wat: Yes, I think…
Unidentified Analyst: Thank you.
Joey Wat: Yes, just to inform you, [indiscernible], he was one of the spokesperson. Obviously, we have many different brands and overall for all the promotions. In the interest of time, we will conclude our analyst call here. And then – and if there are any follow-up questions, feel free to reach out to us. Thanks very much. Micky, do you want to?
Operator: Ladies and gentlemen, that does…
Micky Pant: Yes. Sorry, I just – and I just wanted to add my thanks to all of you for being on the call. I realize it’s late on the East Coast, so I appreciate the U.S. folks staying up as late as this. I appreciate you might have more questions, but our Investor Day is just a few short weeks away. In Shanghai, we will have a lot of chance to meet just over 100 of you. So we’ve got a chance to answer questions in more detail. I appreciate your support as always. Just a little anecdotal, you might have heard some noise on the call, and there’s a big construction happening right behind our office. You can hear the pneumatic hammers. So if you ever wanted audible proof of investment in China, it’s here. So we feel good about this business, and I thank you for your time. And Christie, do you want to close the call?
Christie Ju: Yes. Thank you so much, and we will follow-up if there are any additional questions. Operator, we can conclude the call now.